Operator: Greetings. Welcome to the American Vanguard Corporation Second Quarter 2020 Financial Results Conference Call and Webcast. [Operator Instructions] Please note, this conference is being recorded.
 I will now turn the conference over to your host, Bill Kuser, Director of Investor Relations. Thank you. You may begin. 
William Kuser: Thank you very much, Alex, and welcome everyone to American Vanguard's Second Quarter and Midyear 2022 Earnings Review. Our speakers today will be Mr. Eric Wintemute, Chairman and CEO of American Vanguard; Mr. David Johnson, the company's Chief Financial Officer; and also assisting in answering your questions, Mr. Bob Trogele, the company's Chief Operating Officer.
 Before beginning, let's take a moment for our usual cautionary reminder. In today's call, the company may discuss forward-looking information. Such information and statements are based on estimates and assumptions by the company's management and are subject to various risks and uncertainties that may cause actual results to differ from management's current expectations. Those factors can include weather conditions, changes in regulatory policy, competitive pressures and various other risks that are detailed in the company's SEC reports and filings. All forward-looking statements represent the company's best judgment as of the date of this call, and such information will not necessarily be updated by the company.
 With that said, we turn the call over to Eric. 
Eric Wintemute: Thank you, Bill. Moving on to Slide 3 on the agenda. But before we begin, I wanted to address our 10-Q filing, which we did last -- yesterday afternoon last evening, and then we did our earnings release this morning. We have in the past been asked to file our 10-Q and give people a chance to read it before the conference call so that they could have more in-depth questions. And we also had in the past filed our earnings release prior to the market opening and doing our call after the market. And we had advised, particularly in times when we had unusual earnings that we should do them simultaneous after the market closed. 
 And so this year, we met -- this quarter we met expectations or exceeded expectations. We had our Q ready yesterday. Today is our last day to file the Q timely, and we have had some glitches in the past with getting the filing through the system. So obviously, we did not expect the kind of reaction that's happened today. We apologize and hindsight is definitely a mistake. We will not predo our 10-Q in the future unless we have some other reason and we'll advise people of that. So with that said, I'm going to make a few comments, turn it over to Bill, I'll touch base on our growth initiatives, and then we'll open up for questions.
 So moving on to Slide 4. The revenue growth, these are just reiterating the targets that we've stated back in March, the revenue growth in that 8% to 11% gross profit margin, 38% to 40%. Operating expenses in that 31% to 33%; interest expense similar to '21. Tax in the mid-20s, EBITDA -- debt-to-EBITDA ratio without acquisitions at year-end and below 1, but [ with ] acquisitions could be up as high as 2.5. Net income, we said the target would be in that 60% to 70% increase. What we have gone ahead done here on EBITDA has translated that 60% to 70% increase into an EBITDA percentage growth, and that would be 24% to 28%. For real numbers, that would come into 79% to 81%, which coincidentally 79% was our top EBITDA of all time, and that was in 2012.
 So just where we're at the halfway point, our revenue growth obviously growing faster than we had given initial target for. Gross profit margins are above the profit margin range that we gave. Operating expenses are right in line with the target. Interest expense down 40%. And at this point, I think unless we had some rather high acquisitions before the balance of the year, we expect to be below our 21%. Tax rate we're at 30%. I think now we're expecting to be kind of at the higher of the mid-range right around 27% is what we're expecting for a full year. Debt-to-EBITDA currently at 1.33x, we would expect to be below that [ 1% ] again without acquisitions. Net income for the halfway point, we're up 104%, which exceeds our target and EBITDA, right now we're up 40%, which again is ahead of our target.
 Moving on to Slide 5. Just a couple of highlights to talk about. Again, revenue is up $47 million. People have asked, okay, how does that relate to price increases versus volume? Of that $47 million, 45% or $21 million is related to price increases and 55% or $26 million is a result of volume increases. Our gross margins, as I mentioned, is up from 39% to 41%, a 2% increase. The key driver for that is factory performance, which is about 1.5% of that 2% gross margin increase. So factories are running well. It is a scramble that I'll talk about a little bit later, but we're doing well at this point.
 Moving on to Slide 6. So we've talked about supply chain challenges in each of the past calls because it continues to be something top of mind. We talked about the availability of even finding the resources, the cost of those resources, if you can find them, and then the actual logistics of trying to get them delivered to the plant on time for manufacturing or for the entity for actual sales. So one of the things that we did and we have schedules that we've laid out and we have scheduled for production that are laid out in advance of the year. We're working on the '23 schedule right now. 
 And in that process, we basically kind of know generally when we're going to be manufacturing in certain different products. But as we went through, when I listened to peers, having all kinds of problems, packaging, bottles, caps, pallets, all the inerts, some of the solvents and the intermediates. And again, any one of those issues that you -- and one of those inputs that you don't have can cause delays and missing actual demand. So what we stated is we were going to place orders for all of the raw materials we needed for the balance of the year, and albeit, give delivery dates that were out, just the concept of we're just not going to do kind of a just in time. 
 We're going to purchase and bring into in advance. And so our raw material inventory has actually doubled from where we were in '21. And a lot of that is packaging and some inerts. The intermediates, we've laid out a schedule for everything through the balance of the year and intend to take those as needed.
 So I've mentioned before about forecasting cost and timely price increases. I think we've done very well with that, particularly as you look at what our cost increases have been for this first half of the year. And in addition, those increases have been in advance, and therefore our margins are being maintained well. With a number of additives, a lot more airfreight, ocean freight being 10x the cost and just calculating all of that by SKU, building that into the cost of -- and again, this is inbound freight. We're not typically doing deliveries by air freight, but the inbound freight, getting that built in so that we understand what our true cost of goods and that filters down to the marketing people and they're able to figure out how they're going to recoup the increased cost.
 And then in-season factory production adjustments. Again, I think I mentioned before, we're having calls basically on a weekly basis, looking to the schedules. I look at them every day and we try to make sure that we stay ahead of use, not necessarily ahead of demand because people are pushing for products sooner than they actually need it just because of scarcity, but making sure that we're sticking with the demand.
 Moving on to Slide 7. I just -- I've got this in there just to kind of show kind of the effect is as we entered the '23 season, which, I mean '22 season, which really kind of kicks off in kind of September, October of '21. We had very high demand from our customer base in the United States domestically. People looking to get ahead of materials. And as such, we carried quite a backlog going into Q1 of this year. So I think we did a very good job at, I'll say, managing the products that we had to our customer base, making sure that no one customer overpurchased what their needs were and therefore put a situation where we couldn't deliver to other customers. 
 So we managed that well. Our customers in the U.S. were extremely happy. We have been told by several customers that we have done the best job of all the suppliers in the U.S. So we're very proud of what we accomplished there. Q2, subsequently, domestic was flat with the previous year. And -- but then you see international kicking in, in Q2 as we're seeing kind of the -- I don't call it people trying to buy ahead but a little bit of making sure that they've got product in the side and meeting the demands that they have.
 So moving on to Slide 8. Kind of looking out as kind of our core products and where we are -- this is kind of targets, I think, for where we believe we'll end up at the end of this year. Herbicides, which is the #1 crop input had been a weakness area for us, very strong in insecticides. So fumigants, [indiscernible] kind of biologicals, but our herbicide market was kind of more to the corn market with our Impact product line. But we made a concerted effort to expand that base. 
 And as such, over the last 4 years, we've added 10 new products largely through acquisition, but we've expanded outside of corn to cotton, rice, sugarcane, soybean and canola. We were up quite a bit in the first half and expect year-end to be up about 40%. So kind of growth in our core segment. Our soil insecticides, I expect about 17%. It could have been -- it could be bigger, except we've had to push our factory in Alabama to produce our cotton defoliant Folex for an additional 4 weeks of production to meet a kind of excess demand from what we originally thought the market would do. So we have that ability to shift. And so doing, we're pushing back Aztec from November start date to a December start date. And so we will position the Aztec that we have produced in December, but we're going to go into '23 with a pretty significant backorders on our soil insecticides.
 Cotton, I mentioned the Folex also Bidrin, very strong. And so we're looking this year to be up about 29% there. So that's kind of the highlights. One of the things that we wanted to make sure of and let you know was with all the sales that we've done, what kind of in-channel inventories we're looking at. And so we have -- and we won't know for sure until we get first, second week of September. But we did go out. We know basically what's sitting at the distributor level that we've got track of. But the key retailers, we went out and physically spoke with them and talked through theirs. There are some retailers that have more inventory that they say they're going to keep that they do not want to return it. They're happy to have the inventory going in. But therefore that's not going back to distribution. So when we do the overall calculation, our best guess is that inventories in channel will be less going into '23 than they were going into '22. And obviously, that overall inventory being down signals a strong '23 seasons.
 Okay. So with that, David, I'm going to move on to you for your comments about our finances. 
David Johnson: Thank you, Eric. With regard to the continuing pandemic, a small number of employees around our global business have experienced COVID infections during the last few months. It's good to report that all have followed appropriate safety protocols and isolated, have worked remotely where possible and have recovered or are recovering. Further, these isolated cases have not interfered with our operations.
 Moving to Slide 10. With regard to our sales performance for the second quarter of 2022, the company's net sales increased by 10% to $148 million as compared to $135 million this time last year. Within that overall improvement, our U.S. sales were comparable to the prior year and our international sales increased by 26% to $64 million. International net sales accounted for 43% of total net sales as compared to 38% this time last year.
 Turning to Slide 11. With regard to gross profit performance, our U.S. crop business recorded an 11% increase in absolute gross profit on approximately the same level of sales at this time last year. This performance was largely the result of price increases that we implemented as inflation was taking hold and in anticipation of both higher cost of goods and increased inbound and outbound freight costs. In addition, as a result of strong sustained global demand, we were able to run the factories closer to capacity and achieved better overhead recovery than in the same period of 2021. Overall, U.S. crop gross margins improved from 43% to 47%. Our non-crop sales absolute gross margin improved by 3% on sales that were approximately flat quarter-over-quarter. The main driver for the improvement was related to better factory efficiency, which I just mentioned.
 With regard to our second quarter international sales, we saw increased sales of 26% and an associated 28% improvement in gross margin. The main driver for this performance was strong sales of both the company's products and sales of third-party products through our international distribution businesses in LatAm and Australia. Our international business experienced similar increases in the cost of goods that we saw in the U.S. and at the same time, absorbed the adverse impact of a strengthening U.S. dollar. The international sales team worked hard negotiating with customers to raise pricing where they thought it was possible and consequently maintained margins in comparison to the prior year. Overall, gross margin percentage was at 31% for both the second quarter of 2022 and for the same period of the prior year.
 The graph on Slide 12 shows the impact of the factory performance on our overall gross margin. You can see that in Q2 of 2021, the factory cost was 3.3% of sales. Whereas, as already mentioned, we've been able to run the factories as close to maximum capacity during the second quarter and have, as a result, achieve better overhead recovery. For Q2 2022, factory under recovery amounted to 1.1% of sales.
 On to Slide 13, which shows operating expenses for the quarter that increased by $5.9 million as compared to the same period of the prior year. Our expenses were 33% when compared to sales. As we disclosed in our public filing, the company spent $1.8 million on proxy defense activities, which we regard as a nonrecurring cost. Absent those costs, our operating expenses would have been $47.2 million or 32% of sales. That is an underlying increase of 10% on net sales up about the same percentage. The main driver for the increased operating expenses, in addition to the proxy contest costs were $1.3 million in freight costs, which is primarily volume, logistics inflation and destination driven. Further, we have made some headcount additions in critical areas and have also incurred spending on various activities that support our growing business.
 As you will see in Slide 14, our Q2 2022 operating income was 21% higher than the level reported for the same period of 2021. We recorded lower interest expense in the second quarter of 2022 as compared to the same period of 2021. There are 2 factors. First, we have generated cash in the intervening 12 months, while spending very little on fixed assets and other acquisitions and have used the funds to manage working capital needs, continue the development of our precision application systems, investing in our manufacturing assets and in paying dividends. Secondly, we have benefited during the last 3 months from the tail end of the 2021 annual Early Pay program, which results in getting cash earlier than the due date accounts receivable.
 From a tax perspective, our effective tax rate improved from 31.9% last year to 28.5% this year. This positive change was primarily impacted by a mix of jurisdictions where our profits were recorded, plus the impact of the vesting and exercise of stock that happened during the second quarter of 2022. All these factors came together in the bottom line. We are reporting $6.8 million in net income as compared to $5.1 million last year, a quarter-over-quarter increase of 33%.
 On Slide 15, you can see that for the first 6 months of 2022, our sales were up 19%, and gross margins in absolute terms are up 24%. Both our U.S. and international businesses have contributed to this exciting performance. Operating expenses increased primarily as a result of the proxy contest expenses, the growth of sales affecting freight costs, the adverse impacts of a strengthening U.S. dollar on purchasing inventory for our foreign subsidiaries, increased incentive compensation reflecting improved business performance, and increased accruals associated with deferred consideration related to our Australian business that was acquired at the end of 2020. That business has performed very well during the first 2 years, which was the performance period for deferred consideration. Those costs will not be incurred going forward.
 Overall, operating costs were up 13% as compared to sales that increased 19%. Operating costs were 32% of net sales -- net sales, which is a significant improvement in performance when compared to the 34% we reported for the first 6 months of the prior year. Furthermore, absent the proxy contest expenses, the increase would have been 11%, and our operating costs as compared to sales would have been 31%. Interest expenses reduced by 40%. The tax rate improved from 31.4% to 30.1% in 2022, reflecting mix of income in different jurisdictions and tax benefits from vesting and exercise of stock. Overall, net income increased by 104% for the first half of the year.
 Now I want to turn my attention to the balance sheet. Note on Slide 16 that during the second quarter, we increased cash generated from operations by 6% as compared to the same quarter of the prior year. On the other hand, we increased working capital, primarily as a result of making conscious decisions to bring key raw materials and finished goods into the business earlier than previous years to ensure continuity of supply for the balance of this year and into 2023. During the quarter, we continued to follow several aspects of our capital allocation strategy, including investing in our next-generation packaging systems, SIMPAS, investing in our manufacturing assets and making dividend payments.
 Turning to Slide 17. At the end of June 2022, we have reported inventories to $182 million as compared to $175 million this time last year. We are working hard at managing inventories in the face of strong demand growth. And as I just noted, made decisions to procure inventories earlier to secure product for the rest of this growing season and into the next. The graph shows inventory expressed as a percentage of trailing 12-month sales. Even though inventory increased in the second quarter of 2022, when expressed compared to sales, you can see that we continue to make long-term progress on this important business metric.
 As you will see in Slide 18, with regard to liquidity, under the terms of the credit facility agreement, the company uses consolidated EBITDA as defined in the agreement to determine borrowing capacity. Our consolidated bank EBITDA for the trailing 4 quarters to June 30, 2022, was $75 million as compared to $59 million for the 4 quarters to June 30, 2021. At June 30, 2022, our debt is $101 million as compared to $149 million this time last year. The combination of higher bank adjusted EBITDA and lower debt results in a significant improvement in availability under the credit line to $163 million this year as compared to $57 million last year.
 Turning to Slide 19. Here, we show our progression on adjusted EBITDA from $31 million in the 12 months ended June 30, 2015, to $76 million this year. That is a compound annual growth rate of 16%. It is pleasing to note that we are close to achieving the company's all-time high, which was $79 million in 2012. In fact, based on our performance against the targets Eric has detailed, we expect to meet or beat that 2012 performance this year.
 In summary, on Slide 20. For the first half of 2022, we have increased sales by 19%. This includes having had early conversations with our customers about the near-term impact on finished goods of raw materials and logistics expense, and as a result, secured price increases across our global markets. We've been able to raise output from our factories in the face of strong demand year-to-date and for the forecast for the balance of this growing season and into next, and thereby improved overall recovery factory costs. These efforts have enabled us not only to maintain but to improve margins, notwithstanding the inflationary and foreign currency pressures we are all experiencing.
 We have managed operating expenses, which increased in absolute terms, but declined when expressed as a percentage of sales from 34% last year to 32% this year. Our interest expense is down 40% compared to the first half of the prior year, and our tax rate has improved. All these factors have come together to deliver a net income that has improved by 104%. From a balance sheet perspective, accounts receivable increased driven by strong sales. Inventories increased primarily as a hedge against what we see as a midterm challenge for supply chain and debt is $49 million lower than this time last year, with improved availability under the line.
 With that, I will hand back to Eric. 
Eric Wintemute: Thank you, David. Moving on to Slide 21. With SIMPAS in '22, with 81 new systems, one of those being in Ukraine, believe it or not, that were put into use this year. We're awaiting results of yield to show what kind of improvements we've done in the fields with the materials that were applied both prescriptively and full, but certainly more accurately with the new systems and meters. For this coming year, we are targeting somewhere between 150 and 200 new systems in the operations -- into operation for the upcoming year. And of course, that tacks on top of the 81, and we had some systems though the year before. We've looked at our forecast. And right now, it looks like we're still on target to achieve the previously stated forecast, and we'll discuss that a little bit more in a moment.
 Moving to Slide 22. Again, a lot of what's going to drive the success of SIMPAS is the availability of different products that can go through the system. And you can see '23 will be pretty robust as we added a number of new products that can go through the system. And we'll say in '22, we are very pleased to get iNvigorate and Azotic from Envita and have those available. We think in '23, the use of those on treated acres is going to be up pretty substantially. One of the reasons I think driving these are these are both nitrogen fixing plant stimulants. And as such, I think the whole carbon pieces moved. It continues to move forward, carbon reduction. There's going to be higher incentives for growers to show less nitrogen being put on their fields. And as such, we've said before, we believe that SIMPAS plus the Ultimus system allows the grower to be able to measure, record and validate and will be a key part of them being able to collect those carbon credits.
 Moving on now to Green Solutions. So we had a good Q2, up 62% from where we were in '21. Strong performance, Central America, India, Australia and Mexico, all did well. We've targeted going from $40 million last year to $52 million this year, and that looks to be on track. And again, this is with basically our organic growth. We had no new acquisitions in that area in '22.
 Moving on to Slide 24. I will say that we've had and are having conversations with other biological companies that are looking to us to do marketing and sales of product lines rather than building out their own team. And basically, these are geographical arrangements. We look forward to announcing progress there in the near future. I mentioned the Azotic, Envita and iNvigorate. We're going to be filling those at our factory in Clackamas, Oregon, and making those available for this season, this upcoming season in '22 -- I mean in '23.
 Our AMGUARD [ Environmental ] Technologies that we've got for specifically our bioherbicide trials, the consumer trials are underway right now. The professional trials have been completed, initial ones and look very positive. So we're very excited by this non-select bioherbicide that we think can be a big part of not only consumer, but professional use, and we're even comparing this now for crop use as well. And finally, on green plants, which is our micro fertilizer stimulants, we've had sales in China. We've got kind of registrations completed in Spain, and we've got more growth initiatives scheduled for '23. So all in all, the indications looks to be on track.
 Moving on to our final slide, and we measure out our 2023 to '25. Targets look to be on track from our core business. We are tracking well, certainly versus that targets that we've got for '23 and '25. For our green solutions, again, we're reiterating that we feel comfortable that we are going to hit that 70% target next year and be able to double that to 140% by 25%, given the pipeline that we've got. And then finally, our SIMPAS piece, again, looking next year for approximately $28 million in sales, growing that dramatically to $113 million over the next couple of years after that.
 So with that, that's kind of a reiteration of our strategic objectives, and Alex will open up to any questions that may be from our audience. 
Operator: [Operator Instructions] our first question comes from the line of Gerry Sweeney with ROTH Capital. 
Gerard Sweeney: Eric, Just in your prepared remarks -- and actually I do apologize if I did drop for a minute, I had that spot. But it sounds like you have some pretty good confidence in your targets for this year and looking into next year. Maybe you can talk about your visibility that gives you confidence and then the areas that you think you're most excited about and then check post that maybe some of the areas that you might be a little bit concerned about just so we have a little bit better view of the playing field for the next 6 months, 18 months per se? 
Eric Wintemute: So the things that I think make us feel bullish. We made good market share gain in a higher demand market and we delivered well. So we think we're going to have good momentum going into '23. I mentioned the inventories and channel. At this point, we're not aware of any issues there, which again, I think, bodes well for the upcoming season. Our belief is that commodity prices, and therefore demand will continue to be robust. 
 So I feel confident, I guess, at this point as we're getting closer to drilling down on Q3 and Q4, much better level of confidence as we've gone through each of the SKUs and kind of making sure that we've got adequate supply to meet those demands. It hasn't been easy. I mean, we've been shifting back and forth between packaging of certain products and manufacturing of certain technicals. I mentioned earlier that our plant and axis is behind in our corn cell insecticides, but we feel confident we're going to be able to meet the demand for '23. So those are kind of the drivers that make us have more confidence than in our final numbers for the year-end.
 Concerns, there's the economy, interest rates, political positions. So I think -- I mean, people out there have some nervousness about where things are going. But with -- these are not -- these are not luxury goods that we're supplying. We're supplying for food supply. And so we don't see commodity prices dropping dramatically. So we think that growers will continue to do their job. Even in Ukraine, I mean, I think they're expecting 65% of the crop to be harvested and exported or used internally. So the words are not being fought in the farms. And that's obviously the extreme of what we're dealing with elsewhere in the world. So I think farmer health should be strong. And so overall, I guess that's my pluses and minuses. 
Gerard Sweeney: Got you. And then the other thing I -- things are going well. It sounded as though maybe capacity or utilization potentially getting tight. Two questions or a question around that, that what I sounded like I was hearing was there's some tightness in some capacity. Are you at a point where you need to expand capacity? And really the follow-up to that question, I suggest -- how much does it really cost to drive additional utilization of capacity in some of your facilities? Are we talking big numbers or is it relatively manageable? 
Eric Wintemute: Yes. So we have tightness in some areas. Our granular capacity at access, the formulation and packaging there -- we're not able to make everything there that we would like. But we're going outside for it. So there is outside capacity. We are looking at going from a batch process there to a continuous process, which would expand capacity to about 25%. That's looking at -- that would be maybe a couple of million dollars of CapEx to do that. Our sulfumigant, we're fine with -- we've got additional capacity there and that's our single biggest product both from revenue and from volume.
 On the technical side at Axis, we bought the plant, it manufactured a product called fortress, was kind of the main ingredient that was done there. We've added 6 other AI synthesis components there. But we're -- we're having to make some decisions between our most profitable products there. And so we do need to do look at expanding. I think the original product fortress was a granular 5% granule. We have a 15% granule, but the real growth opportunity there is for our product called Index, which is a liquid formulation of the fortress or chlorethoxyfos. That is probably the biggest squeeze point we have. The capacity is not particularly large running through the unit, and therefore we're better off from overall profitability on running products like Aztec and the [ Folex ] through those facilities. 
 So our counter in Thimet, which again, are growing really well. Brazil has gone off in a big way, and they're awaiting their soybean registration, which will take even further. So that's probably the #1 performer for nematodes in Brazil. And so we expect that to grow quite a bit. It could get to the point where we're at capacity. I think we're maybe about 75% this year. So we still got room to grow. But those are kind of the overall pieces. But I can tell you as a manufacturing guy, I love this kind of challenge. I'm much happier where we are today than where we were in '14 when all the inventory was sitting in the channel, and we were having to deal with 2-, 3-year plans to get that down into a reasonable position. So... 
Operator: Our next question comes from the line of Chris Kapsch with Loop Capital. 
Christopher Kapsch: A couple of questions. So the gross margin improvement that you showed, I guess, in the quarter also year-to-date. Just curious if you could parse out how much of that is from the benefit of better factory overhead absorption because you're also, I think, getting pricing that's ahead of raw materials. So I'm wondering how much that contributed? And if there's anything else that we should be aware of mix or some other nuance that's contributing to the gross margin lift? 
Eric Wintemute: Yes. I said, I think from a pricing standpoint, we've done a very good job at staying ahead. And I think what we're looking at on that slide that showed we got about 1.5% gross margin lift from factory performance. And so that's 75% of it, the balance coming from pricing and mix combination. So we had some, I would say, some of our products, again, inbound freight and some of the things that we did to get products in certainly added to cost. So I don't know that we've got 100% of that covered. 
 But if you look at where we are versus some of our peers, I think we did a really remarkable job at getting through the price increases that we needed. We did not -- were not -- it was a much more difficult position in some of the international markets. There were inventories of products, I'll call them competitive products, not necessarily the same active ingredients, but competitive products that were kind of long in some countries. So for those areas, definitely more delayed at pushing through price increases. But overall, pleased with what we've been able to do. 
Christopher Kapsch: Okay. That's helpful. And I think you -- in one of the slides you said year-to-date revenue is up $47 million versus first half of 2021, and you parse that out roughly half volume, half pricing. So that looks like just rounding out around 9% volume, 9% price. So if it's 9% volume growth year-over-year and you expect channel inventories to be kind of lower than they were last year, lower than normal, then might even suggest then that the application volume growth year-over-year is better than that. 
 And so my question is that seems like it's definitively above sort of market growth even in a robust year. So wondering what's contributing, which products, what's contributing to that above-market growth, if that's an accurate characterization? And are you gaining share in what areas? And just what do you think the ability to sustain some of that perceived market share growth is looking forward? 
Eric Wintemute: Yes. So your assessments are correct in the way we see it. I kind of highlighted one area was the herbicides that were up 40%. There was a lot of shortages in the market this year globally and a lot of shifting around. And that's where, again, it turned out to be very prudent the acquisitions we made in '18 through '21. And we're in the right place, right time to deliver herbicides. And so these are not the glyphosate and the glufosinate, although our -- one of our 10 products is taking our topramezone impact and putting it with glufosinate. 
 So I think our customer base was very pleased with our ability to deliver herbicides to them. I think also these products are unique in their performance. And as such, we think we've earned kind of a longer market share. In fact, we believe we can grow them very nicely going forward. So that's going to be a big upside for us as herbicides that we've invested in -- and some of these are investments and some of them are through our core growth method, what we call IRC program where we've identified opportunities to take our current compounds and marry them with other active ingredients to build out another niche market that separates us from our competition. 
Christopher Kapsch: So just to follow up on that, though. The -- so the demand for the herbicides is partly because of shortage of conventional herbicides, I'm thinking. I mean it's pretty well known that glyphosate was kind of short this year, at least earlier in the season. So -- so are you benefiting for demand for these herbicides solely because of the market being short, some of these conventional herbicides? Or is it really the efficacy of a differentiated offering that you have that's helping drive kind of above-market growth? 
Eric Wintemute: Yes. I think what we've been able to do is we've been able to accelerate the penetration with these products that -- so our [indiscernible] we expanded Canada greatly. We expanded the U.S. greatly. We've -- with our Envo product that we took over second half of '21 from Syngenta -- they had kind of some limited -- they've watched the kind of market kind of diminish as they weren't focused on it. 
 And as I said, you can probably -- you can do a better job with it than we can. We're not -- we're down to a few million. While we've not only expanded the sugarcane piece, but our team did a really good job of getting this reintroduced back into cotton. And so the results were stunning that people were thrilled. So I think the shortage of herbicides has helped us move forward the program that we think we'll get to anyway with penetration, but it's just accelerated, which the momentum of that, we think, will carry well into '23 even with better availability of some of the normal herbicides. 
Christopher Kapsch: Got it. And then sort of last topic for me. So I appreciate you taking the time. But the -- so you mentioned SIMPAS plus Ultimate as a potential for growers to kind of monitor track their -- the ability for them to decarbonize, I guess. So I was just curious, the Build Back Better [ 2 ] bill or I guess what they call the inflation Reduction Act. I mean, there's 750 pages, but proves what I could. And there are some buckets that are -- look like they're targeted towards the ag market and obviously there's an addressing climate change theme to the legislation. And one bucket referred to as climate Smart Ag, there's a $20 billion they're talking about for farmers for various things, but one of the areas is incentivizing sustainable practice. So a long way of getting to my question, which is, is there a play through this legislation that you see where somehow you could accelerate adoption of SIMPAS plus Ultimate as a means for farmers to adopt that practice? 
Eric Wintemute: Yes, I kind of hit that a little bit when I mentioned the Envita and iNvigorate that are -- that help the uptake of nitrogen. Again, I think there -- people -- growers have different mindsets on this. But generally most of them feel their land as their most important asset. There's certainly going to be a lot of upsides reducing to carbon footprint. And I'm not just from a social standpoint, but actually from a financial standpoint. So I saw that as well, that $20 billion and I thought, okay, that's another kick start -- again to farmers is what can you demonstrate. 
 And with the high cost of the fertilizer inputs, it's really a win-win for the grower. If he can reduce his nitrogen by 50% by putting biologicals that help with nitrogen uptake in the root system and get paid for it on top of it, that's a strong incentive. And so yes, we believe SIMPAS can be a big part of that, not just from being able to apply the products correctly and judiciously. 
 And again, they have -- most farmers have maps of -- they're applying somewhat prescriptively now with their nitrogen, but they have areas where they know they've got nitrogen deficiency areas. And if you apply the biologicals that will help with nitrogen uptake in those areas and reduce your nitrogen, that's a totally different approach than just putting these products out across the whole field. So again, prescriptive application, I think can give a much higher return on investment for people looking to reduce their carbon footprint. 
Christopher Kapsch: Interesting. And just to follow up on that. So nitrogen reduction given the carbon intensity of manufacturing synthetic fertilizers is it -- I assume that's a big -- like a low-hanging fruit in terms of decarbonizing the ag end market. And you mentioned a couple, like, obviously, prescriptive application of nitrogen, the biologics that improve the efficiency of the uptake. 
 Just curious like across the broader industry, what are some of the alternatives, seem to remember years ago, maybe there were some genetics that were going to help the plant be consume nitrogen more efficiency. I don't know if that got anywhere. But what are the other sort of match traps that you would be competing with in terms of helping farmers achieve that goal that something that kind of gains momentum. 
Eric Wintemute: Yes, Bob, go ahead. 
Ulrich Trogele: Chris, I think you're going to see what you're saying there are some of the seed companies breeding for better nitrogen uptake, yes. It depends on how successful you are. But I think it's going to be a combination of both breeding and input, primarily either in-furrow like through SIMPAS application. I think some companies are also posting full year application, but yet to see how effective that is. But I calculated a 20% reduction, depending on what you take is the price of nitrogen in a given period of time is around a $5 billion market that could essentially become available. 
 So everybody is racing to that. You see companies, some of our strategic competitors are launching products. We feel SIMPAS is the optimal device to not only deliver the nitrogen fixation solution, but also to measure the effect of the nitrogen fixation solution in that you correlated with yield. We have a model which basically calculates that out for the farmer, and it's quite unique. And I think we're going to see some good things there for our company.
 On top of that, just to give you a little color, we've submitted 2 grants to the USDA. We'll be submitting further grants. There are also state grants. And our strategy here is to have them either subsidize the adoption rate of SIMPAS as a tool, but also perhaps give money to the grant universities to utilize SIMPAS for more biological product development. 
Eric Wintemute: Yes. And I think also our team shared with us, what I hadn't quite understood. One was measuring the inputs going in for nitrogen uptake products, but also using Ultimus to measure the amount of nitrogen that goes through the field or fertilizers. So putting that on, so you can actually go from railcar or bulk storage tank going through and actually measuring how much fertilizer of what fertilizers are going through the farm. So one is, hey, we're doing this and that's reducing our nitrogen, but then you can also confirm it with the amount of nitrogen or phosphorus or any of the other synthetics going into the field. So kind of a double edge of verification. So it's really exciting. Great color. Thank you. 
Operator: [Operator Instructions] Our next question comes from the line of [ Andrew Lester with Harley Capital ]. 
Unknown Analyst: I'm relatively, sorry, but some questions like, what percentage of the business is represented by Ukraine? 
Eric Wintemute: Very small. I think we've got -- we were about $1.4 million looking to get to $2.5 million this year. And last heard, I think it was right about $1.8 million is what we thought we were going to do this year. So not a big piece, but we do have -- we got people there -- we think it's a good market for SIMPAS. And as I mentioned, we did have a system that got up and used for planting and planting time this year. So not a huge exposure, but --. I think we've got to stick with them. 
Unknown Analyst: It's also -- I mean, sort due respect, the stock sort of got crushed today, down 25%. So -- and I didn't see -- I went through the Q and obviously, the slides and everything. I didn't see anything glaring. My guess is that in light of the global dislocations, some investors might have thought this was the time to, let's say, crush in terms of earnings be to sales be or whatever and to have a more moderate to beat into sort of undercapitalized the opportunity. So if the world becomes somewhat more normal, how do you deliver sort of an exciting upside going forward? And I know you have about 600,000 or 700,000 shares left under your buyback that you can now take advantage of. Is there any thought to increasing that in light of the level of the stock right now? 
Eric Wintemute: Yes. So we have -- as you mentioned, you're correct, we had about 670,000 shares available into that buyback. We purchased about 48,000 shares today. So we've got about 620,000 shares left, and that will continue as long as we're at or below $20 a share. I think given the situation, I mean, we're not -- I mean, I'm not -- I don't think we clearly understand what the reaction was in today's market. Again, we met or exceeded expectations. We've now discussed where EBITDA people are asked before, when can you get back to 2012 levels. So we're hitting that this year. We've put a target out there of $155 million 3 years from now in '25. So I think we're very excited by the way the company is performing. So the only thing that we saw that was unusual, again, that we can point to is that we released our Q and our earnings before we did our conference call. So we'll see what happens tomorrow. But as you rightly pointed out, there's nothing in there that would cause alarm from our standpoint. 
Unknown Analyst: Right. I just think as an old-time investor, I think it catches certain people off sides. They were looking at your e-mails. They understood that you were going to have the call after the close. And although -- as you explained, you had the best of intentions, letting people read things, process it and sort of be more prepared, I think it sort of behooves you to conform the convention like others and sort of get it all out there at the same time? And maybe that could avoid some confusion and help things next time. 
Eric Wintemute: Yes. No, as I mentioned, it won't be a move we make again. 
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call back over to Eric Wintemute for closing remarks. 
Eric Wintemute: Okay. Well, again, I apologize for the activity in the market today. I've been at this a while and have -- never ceases to amaze me how things happen. I don't think this is an overall market reaction of the industry or anything on those lines because we're clearly standing out here versus our peers. So again, my best guess is people were taken by surprise by having the queue out in advance and it triggered some concerns. So hopefully those concerns are now answered and alleviated. We'll be following up with investors after this call and talking through any concerns that are there. So very appreciative of -- I mean, we had a large crowd today, which would be expected, but I appreciate you all taking the time, and we look forward to giving you further updates. Bye. 
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.